Operator: Good morning and welcome to the Clear First Quarter 2022 Earnings Conference Call. We have with us here, Ms. Caryn Seidman-Becker, Co-Founder, Chairman and Chief Executive Officer; Ken Cornick, Co-Founder, President and Chief Financial Officer. Please be advised that today's conference is being recorded. I would also like to remind you that today's discussion will contain forward-looking statements relating to future events and expectations. You can find factors that could cause the company's actual results to differ materially from those projections in our most recent SEC filings. In addition, we've included some non-GAAP financial measures in our discussion. Reconciliation to the most directly comparable GAAP financial measures can be found in today's 8-K. With that, I'll turn the call over to Caryn Seidman-Becker, Co-Founder, Chairman and Chief Executive Officer of Clear. Caryn?
Caryn Seidman-Becker: Thank you and good morning. Welcome to our first quarter 2022 earnings call. At Clear, we love travel and we love airports. The strong pent-up demand for travel we discussed last quarter is translating into action. As pandemic restrictions recede and people hit the road, consumers are spending a larger share of their wallet on travel experiences. There is a resurgence across the entire industry from airlines to hotels to car rentals. We have seen this firsthand at Clear in airports across the country. This March featured our highest verifications and enrollments to date. When we compare the numbers to 2019, we find the vast majority of our airports have already exceeded pre-pandemic levels. These numbers do not even take into account the full return of the traditional road warrior business traveler or international travelers. Some of Clear's earliest and largest markets are the ones that are growing the fastest. Our Clear Plus member base has more than doubled versus 2019 and a number of those earliest markets saw in-airport enrollments grow by over 300% versus first quarter 2019. Our trial conversion rates are at record levels and more members are utilizing the family plan than ever before. The power of the network is evident. You see it in record-high new joins, trial conversions and family attach rates. We have built Clear to meet this moment with a growing network and new product launches. In the last month, we have opened new Clear Plus lanes at three California airports, San Diego, Ontario and Palm Springs. These openings mean we now have over 120 Clear Plus lanes in 43 airports across the U.S. We will continue our efforts to expand this network. Network expansion is important as it drives growth in the new market and lifts existing markets, both from a gross add and retention perspective. Our Reserve powered by Clear product is providing a predictable experience for a different type of traveler. We are seeing record numbers of travelers using Reserve powered by Clear to book time slots for TSA screening in advance in cities like Phoenix, Seattle, L.A., Orlando, Newark and Calgary. As people come to expect technologies designed to make their lives easier, more travelers are utilizing Clear's free Home to Gate tool to tell them exactly when to leave for their flight and even reserve an Uber ride ahead of time. We're excited about the platform side of our business and after a very successful fourth quarter, we continue to sign new partnerships and build our product and partner pipelines. As it's still in its early days, the platform metrics can appear lumpy with timing mismatches between new deals signed and bookings versus enrollments in utilization. With domestic travel back and physical and digital identity more important to trust and experiences than ever before, it is an exciting time at Clear. Our free cash flow, coupled with cash on the balance sheet, puts Clear in a strong position with great long-term growth and significant capital allocation opportunities. With that, I'll turn it over to Ken.
Ken Cornick: Thanks, Caryn. Good morning, everyone. Our financial performance in Q1 was better than we expected, with revenue up 79% and bookings up 74%, driven by growth in Clear Plus as well as new deals on the platform side. As we discussed last quarter, our focus remains on growing members, bookings and free cash flow. We generated roughly $20 million of free cash flow in the quarter and expect this to be our fifth consecutive year of free cash flow generation. Our business model is strong and following several years of platform investments as well as the normalization of airport staffing levels post pandemic, we are seeing operating leverage. Adjusted EBITDA this quarter was roughly breakeven. As we told you last quarter, we expect moderating year-over-year expense growth in 2022. A quick word on retention, we reported 95.3% net member retention in the quarter which remains above our long-term expectations of the upper 80s. We are really pleased with how retention has trended coming out of the pandemic and there are structural reasons for the strength like network expansion, strong operational execution, customer centricity and brand passion, as we discussed in our letter. In addition, some of the strength also relates to win-backs of the excess churn we saw during the pandemic. As a reminder, the net retention calculation is the sum of gross retention plus win-backs. So in other words, gross retention which is in the low to mid-80s, is netting to the mid-90s with the benefit of win-backs. We do expect net retention to normalize above pre-pandemic levels in the upper 80s and among best-in-class consumer subscription metrics. Some of you may have seen news of our planned price increase. Later this week, we are raising the retail price of Clear Plus subscription for the first time in our history by $10 to $189 for new members. Existing members will be grandfathered at $179 in 2022. This quarter, we added some disclosure around stock-based compensation expense. As owner-operators, we're strong believers in driving economic returns and we are mindful of the true cost to shareholders of share count growth. At Clear, we have constructed a thoughtful, long-term total rewards program that encourages an ownership mentality while we remain focused on limiting dilution over time. Along those lines today, we announced a $100 million share repurchase program. As Clear owners, we're focused on economic capital allocation to maximize long-term returns, including opportunistic share repurchases. Our cash and equivalents balance at 3/31 was $663 million, thus, we have ample liquidity to support repurchases as well as our growth initiatives, both organic and inorganic. Now for guidance. In Q2, we expect GAAP revenues of $99 million to $101 million and total bookings of $110 million to $114 million, excluding any contribution from TSA PreCheck. We're making steady progress in our launch time line, setting us up for go live in the next several months. We'll now go to Q&A.
Operator: [Operator Instructions] Our first question is from the line of Paul Chung with JPMorgan.
Paul Chung: Very nice performance here. So just curious on the Health Pass member on the conversion to Clear Plus. How effective has that upsell progressed? What are some metrics you can share? And then separately, we're also seeing the Clear brand kind of pop up in various different verticals, seeing it in hospitals and others. Where are you seeing more opportunities to kind of grow the brand, etcetera?
Caryn Seidman-Becker: So thanks, Paul. We are seeing organic upgrades from the platform to the Clear Plus side of the business. Interestingly, we really haven't kick-started any internal initiatives around that, so it's really organic. And I think that's incredibly exciting because it also introduces the brand to people in new ways which makes it much easier at the airport for them to join. We're also hearing that from our ambassadors that we have much higher brand awareness which gets people more interested and more excited about the brand. We're seeing the desire for frictionless experiences in multiple verticals. And I don't think it's just about the experience, right? So yes, that's the expectation for people coming out of the pandemic but also automation which drives cost efficiencies for partners is a driver and also connected experiences. So we are seeing it broad-based in the travel industry. So as I talked about that return, airports, airlines, hotels, car rentals, ride shares, you're seeing that desire across all of those and they also have a lot of partnerships between them. And so I think it's a holistic view there. To your point, maybe you experienced Clear at HSS here in New York City. We are seeing a lot of...
Paul Chung: Yes.
Caryn Seidman-Becker: Oh, is that where you saw it?
Paul Chung: Yes, yes. I did see that there, yes.
Caryn Seidman-Becker: Yes, well, hopefully, you're feeling okay. We are seeing interest in the health care side because, again, Clear plays on both the physical and the digital side, right? So both on the digital front door, telehealth, telemedicine as well as the physical experience. And then, the last thing I would say is we are seeing interest from, I would call it, digital trust. We did buy Atlas Certified at the very end of the fourth quarter and this concept of knowing you and that you are certified or licensed for certain use cases, right, or jobs is also really important. So I would say it's broad-based, both online and off-line. The last piece I would add is as Clear builds a lot of partnerships to help employees and employers return to work and obviously, that's incredibly important right now, thinking about that hybrid work environment which is now both physical and digital, we think there's a lot of opportunities there.
Paul Chung: Right. And then a follow-up. On the airport count, you mentioned 43 today. How many lanes per airport today? Is there more runway to kind of add more lanes with your existing partners? And then looking ahead, nice progress with three airports today in the quarter. What are some key partners you see in the pipeline? Any updates on the international efforts as well?
Caryn Seidman-Becker: So we do see growth on both the new airport and current airport pipeline. And so you will see both of those coming throughout this year. In terms of where we see the opportunities, we don't announce partnerships before we sign them, so stay tuned. And international, as I mentioned, we now have our Reserve lane in Calgary. Where we're focused internationally is, I would call it, the Americas, from Canada to South America, Western Europe as really our first focus and that's in multiple different kinds of products. When I think about good, better, best and I think we talked about this last quarter, right, we have Reserve, we'll be launching PreCheck enrollment, we have Clear Plus and more products coming. So we have more opportunities to launch different products in different airports and really serve our partners as they want to be served.
Operator: The next question comes from the line of Dana Telsey with Telsey Group.
Dana Telsey: Congratulations on the nice progress. As you think about the TSA PreCheck launch, how is that going? And any update on the cadence there? And then on the B2B model that you just mentioned, any other guideposts that we should be watching for as you go through the year? And lastly, with the operating expense leverage that you had this quarter, how are you thinking about expenses going forward and the different buckets?
Caryn Seidman-Becker: So Dana, I'll take the B2B and then I'll let Ken talk to PreCheck as well as expense and operating leverage. As I talked about in my commentary, it's an earlier-stage business. The platform metrics, right, there can be mismatches between new deals signed and bookings versus enrollment utilization. Let me give you two examples of that. In this quarter, we signed a large platform deal that contributed to bookings but didn't yet launch. So it doesn't yet have an impact on members and utilization as opposed to our Clear Plus business, when you enroll, you pay typically in the same quarter. Or in Q4, as we were successful driving new members with our Raiders partnerships but then the NFL season ended, so we didn't have gross adds or utilization from that partnership in this quarter. So it's really what -- the guidepost you should be looking for are both product launches and partner announcements, some partners will run throughout a year and some partners would be in a quarter or an event. And so hence, the potential lumpiness there. And so I would just stay tuned for our products and partners.
Ken Cornick: Dana, so on the PreCheck piece, look, we're making really good progress. Everyone involved is motivated to bring this to the traveling public. Everyone wants a larger PreCheck enrollment base. And so we continue to work in partnership with the TSA to bring our strong networking capabilities to the PreCheck enrollment program as soon as possible. And look, we're confident that we're well positioned to launch in the next several months, so I'll leave it at that.
Caryn Seidman-Becker: If I could just add to that, I was recently with some of our engineers who were showing off the product demonstration and we're incredibly excited to launch it. And also for travelers and I know our airport partners are also excited for the launch, the ability to leverage our really well-positioned enrollment locations and our amazing staff of ambassadors and team of ambassadors across the country, starting at 4:30 in the morning and ending at 10 or 11:00 whenever a certain lane or enrollment area closes, we are -- ready and incredibly excited to bring those to travelers. And I would say our partners are deeply aligned on that.
Ken Cornick: So your last question on expenses, look, I'll reiterate what we said last time which is we expect a moderating growth rate in the year-over-year expenses. As you know, we've had a couple of years of investment in the platform. Last year, we spent the year normalizing our staffing levels to pre-pandemic levels after cutting them in 2020. And so we're well positioned for operating leverage. And again, I'll point to our free cash flow generation. So our GAAP metrics understate the true profitability of the business.
Operator: The next question comes from the line of Michael Turrin with Wells Fargo.
Michael Berg: You got Michael Berg on for Michael Turrin. Congrats on a great quarter. I just wanted to double click on something you touched on last quarter to see if you might have some quantitative metrics behind it again. You mentioned last quarter, same-store bookings grew 50% year-over-year. Any sort of metrics around that this quarter?
Ken Cornick: Yes, we wanted to give some additional disclosure just to help everyone understand the true growth dynamics of the business on a same-store basis as well as how widespread the growth is. Caryn made a few comments in her opening remarks. In general, we are seeing strong same-store growth. I don't have a metric for the full base for you this quarter. But we are seeing very, very widespread, strong same-store growth across our base.
Michael Berg: Fantastic. And a quick follow-up, how would you characterize the initial integration and demand for your recent acquisitions of Atlas and Whyline?
Ken Cornick: We're really pleased with the pipeline, integration is going well and we remain very excited about those two acquisitions and what we can do to accelerate their growth as well as how they will help us accelerate our growth.
Caryn Seidman-Becker: When I talked about automation, I think that businesses are fully understanding that the hours required to manually check and confirm individual credentials and licenses are staggering. When you think about health care or you think about online platforms for anything from caretakers to plumbers, the need and hours and people required to ensure compliance is really high. And so I think there's an appreciation of the automation. And I do think there's an appreciation of both, right, integrating the credentials as well as verified identity. So -- and I think with the Clear brand, there were some aha movements for partners.
Operator: [Operator Instructions] Our next question comes from the line of Brian Essex from Goldman Sachs.
Brian Essex: I was wondering if I could touch on the price increases briefly. Maybe if you could highlight the impact of those that you anticipate those increases will have on the partners. So if you're increasing the retail price $10, what happens to airline partners that offer discounted membership as well as the Amex relationship? And then I have a follow-up.
Ken Cornick: Sure. So right now -- so in the past, we've actually raised those prices. Currently, we don't have a near-term plan to do that. But certainly, long term, we will look at that and we've done it in the past. So for example, when we first launched Delta, it came in at $79 and $99 and those are now $109, $119. And as far as American Express, it will remain fully paid to the consumer.
Brian Essex: Got it. So is it fair to say that you're the one that decides what pricing point to set there? And particularly with regard to Amex to the economics, is that a renegotiation that happens on the part of the two parties?
Ken Cornick: No, it's not a renegotiation. When we signed the deal, all these things were considered.
Brian Essex: Got it, that's super helpful. And then maybe just on the bookings, is there any impact to bookings? Is the net member retention still relatively analogous to net revenue retention? And any impact to that number by from, I guess, true-up from pricing on renewals that may previously have been discounted during the pandemic?
Ken Cornick: Right. So the -- I mean, the pandemic discounts have largely run through. As we mentioned, we're not going to raise price for existing members this year. But certainly, in the future, if prices were increased, you would see dollar retention exceed net member retention because of the price increase, if that makes sense.
Operator: Our next question is from the line of Ananda Baruah with Loop Capital.
Ananda Baruah: Congrats on another quarter of strong results. It's really cool to see it. I guess, a few for me, if I could. Can you guys -- do you guys have a sense or can you comment on if the membership conversion from the platform experiences are yet making an impact to what's been really nice revenue in the last couple of quarters?
Caryn Seidman-Becker: I would say every dollar makes an impact. So it's been a small impact, not yet significantly material. We do think that it is an indication of what we can do as we continue to sew the platform together.
Ananda Baruah: That's helpful, Caryn. And Caryn, would the same for international, your international initiatives as well to this point?
Caryn Seidman-Becker: Well, if you're talking about the Whyline acquisition, there's a small impact there but again, not yet reaching the level of significant materiality. Early days there as well.
Ananda Baruah: Okay. That's super helpful. And so could you guys just give us maybe a little additional context, if it's possible sort of what might be -- like what all do you see that's not been mentioned yet, if anything, the dynamics that are driving the strong same-store sales growth that you guys have been seeing? Just any context you give us sort of like an experience of what you guys are seeing.
Caryn Seidman-Becker: I think it's hard to point to one thing. This is sort of almost 13 years in the making. We launched our first airport Orlando, mind you, as Ken talked about price increases at $179 in 2010. And we talked about over 120 Clear Plus lanes today and use cases in sports stadiums or HSS or other places. And so I think the more places that Clear shows up, this concept of early product market fit which is really frictionless experiences and giving people back their most precious asset and that is time with a trusted brand, I think it all sews together. I was visiting our team in Seattle a few months ago and our ambassadors were saying that people who had used Health Pass now understood Clear and were excited to use it at the airport. I think success is a lot of little things. We have an incredible team of ambassadors. We are fully staffed today. They are welcoming travelers back. It is harder and more stressful today to travel than ever before. And I think Clear is a bastion of tranquility in a sea of stress, not only in travel but in sports and other use cases as well. And so when you look at our member growth which is up more than 100% versus year-over-year and then the airport side up double over 2019, I think it's the power of the network. I think it's the trust in the brand. I think it's the word of mouth. I think it's the multiple use cases. I think it's that we've been at this for a long time. And so there's a familiarity and maybe you didn't enroll a few years ago but you still see it today. Incredible, people talk about our ambassadors being just incredible and the greatest part of the airport. I think the technology has gotten better. The platform is stronger, faster, iris touchless, I could keep going. It's so many little things that add up to the opportunities that we have. And then it's the world that we live in. And again, I think we were probably early in 2010 but the desire for frictionless experiences and a trusted brand which is why we wrote the letter that we did on both the privacy side and the customer experience. It's a here and now opportunity for Clear. And I would also say we have an incredible team across the country and now around the world bringing it to life.
Ananda Baruah: And just one last quick one for Ken. Ken, is there any chance that the net retention can settle in kind of stronger than what your target is?
Ken Cornick: The net retention, you ask?
Ananda Baruah: Yes, exactly.
Ken Cornick: Well, we do expect it to settle in above pre-pandemic levels and we're seeing that. So I said upper 80s and that is above pre-pandemic levels and among...
Caryn Seidman-Becker: Look, we're going to work really hard to make sure it's as high as possible.
Ken Cornick: We always want to maximize every KPI.
Operator: Thank you. We've reached the end of our question-and-answer session. And this will also conclude today's conference call. Thank you for your participation and have a wonderful day.
Ken Cornick: Thank you.
Caryn Seidman-Becker: Thank you. Bye.